Kristian Tammela : Good morning, all, and welcome to Huhtamaki's Investor Call. My name is Kristian Tammela; I'm VP of Investor Relations. We have this morning released the results for Q1 '24 and have our AGM in a few hours from now. We will, again, as usual, start with presentations by our President and CEO, Charles Heaulme, followed by our CFO, Thomas Geust. And after that we have time for questions. But before that, I'd like to remind everyone of our upcoming site visit to our Hammond site near Chicago in the US. That will be arranged on September 4. We will send out invitations to that before the summer holidays. But if anyone have any questions about the event, please feel free to reach out already. And with that, let's get started by handing over to Charles.
Charles Heaulme: Thank you, Kristian. Good morning to all of you and welcome to our presentation of our results for the first quarter of 2024. I will immediately get through the business context for the first quarter and an executive summary of our performance. Business context is that we have been in a market around the world with a demand trend that we have seen slightly improving if we compare to the latter part of the year 2023, relatively flat versus the first quarter of 2023. There were, as usual, of course, variations by product and product category and geographies. We'll come back to this when we are talking about specifically about our different segments. One thing to remind, which we already highlighted in the release of our quarter four 2023 results, is the impact of the ongoing war between Israel and Hamas. And then the Red Sea crisis also is impacting the logistics and the sales of the first quarter, particularly for our two segments, Foodservice and Flexible Packaging. We'll come back to this in a few minutes. In this context, our financial performance is as follows. The sales have been -- comparable sales have been growing or declining by 2% and that's after a negative impact of currencies and mainly a negative impact of the pricing. The pricing pressure in the value chain has increased while, as I said before, volume is more flat towards the first quarter of 2023 and in an improving trend if we compare to the latter part of the year '23. On the other hand, our profitability has increased to the adjusted EBIT margin of 9.8%. It's a profit increase at adjusted EBIT level of 7% compared to the first quarter of last year. And let's remind that the first quarter of last year was with an adjusted EBIT margin of 8.8%. So it's a one percentage point increase of profitability versus a year ago. And we will come back to segment by segment where it's coming from. But particularly, obviously, this is also coming from the efficiency measures that we have taken and that we announced back at the end of 2023. And for this, I'd like to give you a more thorough update on where we are with this efficiency program and therefore, moving to the Slide 3 for the ones following with the presentation offline. This efficiency program is well underway at this point. And it's contributing to our first quarter profitability improvement. Let me remind everyone that it's a program that we have launched in the end of November 2023. We announced it in the end of November 2023, covering all input costs of the company with the aim to save EUR 100 million during the three years 2024 to 2026 and covering, as I said, all input costs from sourcing, material efficiency in our manufacturing processes, labor productivity as well as footprint optimization. Relating to the savings of EUR 100 million, we said also when we announced this program that the cost attached to the program will be approximately EUR 80 million. And I think it's good to remind that we have started acting already in 2023 for a reason of a context, where the demand was lower in or even significantly lower in 2023, particularly affected by the inflation in the market. So reflecting -- and that's on the left-hand side, if you follow on the presentation. On the left-hand side of the presentation, it says about a few actions, which we have taken already in 2023, starting with accelerating our procurement process improvements with all input costs from direct material to indirect supplies and services. We have also accelerated our continuous improvement program on our manufacturing practices, focusing particularly on material waste reduction. Third, we had started in the end, in December 2022, actually, we had started to work more drastically on our labor productivity with a very positive impact in 2023 already with a reduction of our workforce. When you compare to the end of quarter 3, 2022, to the end of 2023, we had reduced our workforce by 8%. And that was including own workforce as well as contracted workforce. Last, we had already in 2023 started to work on our footprint optimization. That was particularly the case in the flexible segment with the decision to close our manufacturing plant in Prague, which this consolidation has been completed during the first quarter, actually, of 2024. And then we had closed also the Hyderabad flexible factory in India. Now to the first quarter, so on the right-hand side of the slide, to the first quarter, what have we done in terms of execution of this efficiency program? Well, first of all, let's confirm that all the initiatives are in executions in the four areas that I mentioned. And this has allowed achieving in the first quarter savings which are above the linear trajectory of the program. This contributed to the group's profit expansion of EUR 7 million during the first quarter, including compensating for inflation and adverse currency impact. So we often -- about inflation, we often think that inflation is resolved. There is one aspect of inflation, which is still impacting all businesses. That is the labor inflation, which was 7% last year. So still in the first quarter, this impact, and then it will go on with a further 5% during the year 2024. Subsequent to these savings, there are costs attached to some of the decisions we have taken during the first quarter. And these costs attached to the program are EUR 16 million for the first quarter of 2024. The key benefits and activities in the first quarter have been covering sourcing, obviously, labor productivity, but as well, again, a further optimization of our footprint. Two things to remind or inform about is, first of all, in March, we initiated the consolidation of the production footprint in China, where our segment is fiber foodservice, where we closed the Shanghai and Tianjin sites by the end of the second quarter of 2024. So, we'll see the full saving impact of it in the second semester, transferring production to the Guangzhou site. It's our main site in China. Just remind that we have four sites. We are closing two. And we keep the Xuzhou and then the Guangzhou site, Guangzhou being the biggest one. This decision was affecting or is affecting 152 employees. Second, and this was announced two days ago, on April 23, we are consolidating further the Fiber Foodservice segment manufacturing footprint by closing the Klang factory in Malaysia by the end also of the second quarter of 2024. And this decision is going to affect 96 employees. Just to remind that our forecast is that the program will continue progressively to unfold the savings according to the announcement made of EUR 100 million over the next three years, including 2024. Moving on now to our business performance for the first quarter more in detail and starting with the sales. I'm on Slide 5. The sales for the first quarter reported with a decrease of 4%. As I said, a negative currency impact of 2%. And then comparable net sales decreased by 2%, which is particularly linked to the pricing pressure in the value chain. If we look in the next slide into how this unfolds by our different business segments. In the Foodservice, Europe, Asia, Oceania, the demand has been relatively soft in the first quarter still with a minus 5%. We'll see that it's coming particularly from geographies in Asia, particularly, but Middle East also linked to the Gaza war. In North America, the demand was more remaining flat at the level of 2023 first quarter, but with pressure from the pricing at minus 3%. Flexible Packaging was starting to show signs of improving demand. And we have in the first quarter with the pricing impact a net sales of minus 1% and fiber packaging is where we have seen the volume already showing very good signs of recovery of the demand with almost mid-single-digit volume growth and at the same time some pricing pressure, so a growth, a comparable growth of 1% in the fiber segment. Translating this into the consolidated P&L, on the Slide 7, from the net sales, minus 4%; reported minus 4%. We are reporting an increase of the adjusted EBIT of 7%, that's a EUR 7 million increase. And the margin -- the adjusted EBIT margin is increasing one percentage point, as I said in the introduction, from 8.8% last year to 9.8% in 2024, very much in line with the improvement that we were showing in the fourth quarter of 2023. The EPS as well is improving 7%, in line with the EBIT. And then the CapEx have been lower than in the first quarter of last year. Part of it is linked to timing of investments. I will take now you through some more granularity by business segment, starting with Foodservice Europe, Asia, Oceania, where we see an increased margin despite the geopolitical headwinds. I mentioned earlier that the reported growth is minus 6%, the comparable growth minus 5%. Most of it is a part of a pricing pressure in the value chain is linked to external factors, particularly with the Israel Hamas war, which has the impact of boycotts into large customers from US. origin. And that, of course, in the Foodservice segment is extremely impactful when the main brands are US. brands. The net sales decreased in most markets, but as I said before, mostly actually in China, Middle East, and Africa and Southeast Asia overall as well impacted by this war. Prices of the raw materials have been decreasing compared to the first quarter of 2023, which is partly helping the margin improvement and also the efficiency measures that we have been taking, as I mentioned earlier, with the presentation of our efficiency program. Moving on to North America; North America, where we have seen a demand remaining unchanged compared to previous year's level. And that has meant a minus 4% on sales, reported sales comparable minus 3%, because of the pricing, but also because of the currency impact with the difference of conversion of the US. dollar. At the same time, we have significantly improved our margin by two points from 11.9% adjusted EBIT margin end of Q1 2023 to 13.9% in the first quarter of this year. Also slightly lower capital CapEx investments compared to the first quarter of last year and a strong cash flow in North America. Flexible Packaging, overall, the demand has started to show some signs of improvement, but with significant variations between markets. We may come back to that in the discussion later on. Good thing is Europe is clearly showing some signs of better demand level. The net sales still decreased comparable terms by 1%, mainly impacted by the pricing in the value chain. And the raw material prices decreased compared to the first quarter of last year. And the adjusted EBIT margin remain at the same previous year's level. I'd like to make a disclaimer on this is that we have a onetime impact from the macroeconomy in Egypt in the margin of the first quarter 2024 linked to the devaluation of the Egyptian pound by 60% during the month of March and obviously that had an impact. So the operational comparable profitability of Flexible is actually higher than the 6.4%. And finally, on the Fiber Packaging segment, so rough molded fiber for egg packaging as well as for the foodservice rough molded fiber products. The sales volume turned positive in the first quarter and by almost mid-single digit. So that's a positive trend. We are still suffering a few operational issues which are under resolution, which have to do with, first of all, the lack of capacity in Australia due to a fire in the first -- in the beginning of the first quarter, but also in European factories, some lack of workforce, which has meant additional costs during the first quarter and that is under resolution. So that's for the more granularity by segment. And then I hand over to Thomas for the financial review.
Thomas Geust : Thank you, Charles. And as usual, I'll try to tie up the financial numbers on the elements not necessarily yet covered by Charles, but also some repetition as usual. So first of all, I would like to highlight that the strong absolute profit development of 7% and the strong margin of one percent point improvement versus previous year, getting close to 10%, is driven partly by the tailwind, obviously, which we have in the commodity market currently. But I would like to remind you that at the same time, we do have significant headwinds also in other cost areas with a slight uptick in both transport and in especially the personnel cost compared to first quarter previous year. So with other words, the strong margin development is not a single raw material tailwind. It's definitely also the cost-out programs and better operational efficiencies in the system. Other items to highlight on this slide is the IACs. We have roughly EUR 17 million of IACs into EBIT levels, where a big part are tied to the savings program. Actually, I think roughly EUR 16 million out of EUR 17 million is tied to the efficiency program. So as we communicated, we will be taking onetime costs, most of them actually being noncash, through the program. And in that by doing so we will be improving our competitiveness going forward. The tax rate, the reported tax rate is above 30%, 31.5%. However, if you look at the adjusted tax rates, it's on the normal level, roughly 24%, slightly below. So the restructuring elements, as they are non-deductible, has an impact on the year-to-date reported tax rate. But as Charles already indicated, the good thing is now that the 7% adjusted EBIT flows all the way down to improvement also on EPS. Looking at the currency rates, I would say, as usual, it's been the story for quite some time now. Most currencies are trending negative, except for the British pound and Brazilian real. However, maybe the things to really pinpoint on this slide are the two last rows, the Turkish lira and Egyptian pound. If I start with the Turkish lira, you see that it has had a strong devaluation compared to Q1 previous year. But on the positive side, when you are looking at the closing rate numbers, there has been moderation on the devaluation, I would say, starting from Q2 2023; so more stability in that market; but still high personnel inflation levels, and then also a slightly subdued market due to the ability to spend. And if you look at the Egyptian pound here, the very strong devaluation happening in Q4 '23, is obvious from -- sorry, in Q1 2024 is obvious in these numbers. So all in all, although we have those two currencies, which to some part also have transactional impact on profitability. The majority of the EUR 17 million net sales negative impact and EBIT EUR two million is, as usual, translational currency impacts. So coming to one of the most important slides, how we manage our balance sheet. The story continues of deleveraging. So having been on up at three, we are now down to 2.1, so strong deleveraging throughout last year and now at two. One when it comes to net debt to EBITDA, obviously, also improving on the gearing and maintaining a good cash position and liquidity position also in the company. The average interest rate on gross debt is slightly below 4%. So a decent level in this more heavy interest rate environment where we are. Net debt all in all down to EUR 1.2 billion roughly, EUR 1.249 billion. Loan maturities, we have some maturities coming up in 2025, some also this year. I would say we have a good plan on how to deal with all of the maturities. I would also comment on in this structure that we have the majority in fixed rates. In the floating rates, we would have mainly commercial papers and some term loans and of course the RCF as well. Looking at the free cash flow, the free cash flow is positive at EUR 38 million with roughly the same reported EBITDA in the base. Improvement comes from lower capital expenditure, as highlighted by Charles, to some extent due to timing. Working capital looks pretty dramatic in this slide. I would say there are two elements to it. One is some building of stock ahead of season, mainly in North America. And then another element coming from other receivables and liabilities, so not from the normal working capital. Looking at this slide, I will continue immediately from the working capital. So you can see that we are, despite the negative trend versus year-end, significantly down EUR 150 million down versus same period last year on working capital. Net debt, as said, strongly down. Total assets at EUR 4.8 billion, roughly -- EUR 1 billion of that roughly goodwill. And then we have the adjusted return on investments going up versus previous year, which is, of course, in line with our ambition to continuously improve on also the returns of our balance sheet. And that one you can see on this one, which discloses our long-term trends. So if you look at the return on investment, it's been continuously now improving since 2022. You have the adjusted EBIT, which is also trending upwards. And you see the net debt decreasing very much towards the lower end of the corridor of our net debt-to-EBITDA ambition. The dividend payment proposed is in line with our dividend policy. And so, therefore, I would say, absolutely the right direction on all parameters. The one where we are still trailing behind is on the net sales growth. And currently, it's more the volume side. Although the volume in the quarter, I would say, started already to look more positive, so a flattish volume development in the quarter. On the outlook, we have done no changes to the outlook or short-term risks and uncertainties compared to what we communicated in connection with the Q4 results. And thereby, I conclude my part. And I think Kristian already highlighted the upcoming visit in Hammond.
Kristian Tammela : Thank you. Now it's time for Q&A. And as usual, we ask you to please limit yourself to two questions.
Operator: [Operator Instructions] The next question comes from Gaurav Jain from Barclays. Please go ahead.
Gaurav Jain: Hi, good morning for taking my questions. So, I have a couple. First is could you talk a bit about the impact of PPWR. It was voted last week on your various segments. You have published a lot of very helpful information. But it would be helpful to just hear from you how you see all of it now working through? And secondly, you have spoken about currency a lot and especially Turkish pound and Egyptian sorry, Egyptian pound and Turkish lira. So just to understand if the currency is down, let's say, 66%, 20%, you increase prices. So, your organic sales growth do benefit from massive currency depreciation. Is that the right way to think about it? Thank you.
Charles Heaulme: Hey, so good morning, I'll take the first question and I can elaborate on the second and then hand over to Thomas. PPWR, as you know, it started the end of November 2022 with a product which was particularly for our businesses, highlighting a ban of single-use packaging as of 2030 in store. And this, of course, was a concern, because even though the impact would not have been significant on our business, there was a negative impact. At that time, the PPWR project was thought in a restrictive way and not fact-based. The good thing is that the legislator and we have to appreciate all the work which has been done in the EU Commission and the EU Council in the parliament. They have all worked a lot in listening to the right facts to the science and to come back to a common sense about what are the best alternatives for -- from an environmental impact point of view. And then this drove to a final project, which has been actually voted yesterday by the EU Parliament, a project which has raised the ban of single-use packaging. So there is no more ban of single-use packaging in-store consumption. There is a recommendation, a soft recommendation to make available reusable solutions at a level of 10% in the in-store consumption by 2030. But it's not any more a target. That's for the potential impact it may have had on our foodservice business. So therefore, we are pleased with the outcome of this legislation. Second aspect, which is more valid for our flexible packaging is the legislation is having the ambition to drive towards recyclability, secular economy and recyclability of packaging by 2030. And this is fully in line with our number one, our commitment. You may remember that in our 2030 sustainability commitment, we said. We commit to design 100% of our packaging to be recyclable, compostable or reusable by 2030. So that is extremely consistent with our ambition and also with our strategy because this is what we are implementing with all the innovations we have. For instance, the innovation of mono material structures in the flexible packaging, which are now launched since exactly one year, I think 23 of April 2023, we launched it. And therefore, this is very much in line. So in a way to keep it as a summary in one sentence, it is supporting now our business and will be contributing net positive to our business. That's for the PPWR. On the currency, of course, we have been -- we have not been standing still in front of the rising devaluations, but also the risk that we saw coming. So the risk of the Egyptian pound devaluation was in the price was with the analysts and we saw it coming. The only question was not if, but when is it going to happen. So we have actually optimized our business model in order to reduce our exposure, particularly in the balance of import exports not to sit on too much local cash. And we've done so well that you may remember that a year ago, there was a 20% or a bit more than a year ago. There was a 20% devaluation of the Egyptian pound. This time in March was 60% devaluation. And our impact on our profitability was actually lower in the first quarter of 2024. So that shows the power of taking actions and anticipating increasing pricing. Of course, we do it because in the end, many of our costs are in hard currency, particularly raw material. But we have the benefit as well of having all the labor and the local cost being in local currency. And this -- to your question, where is the impact? Well, the impact is as well in the consolidation because, obviously, consolidation of local currency numbers is impacted in your terms.
Thomas Geust: I'd like to comment on this one still a few things. On the -- you need to remember the fact that on our export business and actually many of the local businesses, we are trading in hard currency. So both our purchases and our sales are in hard currency. If we are in local markets where we have then the local currency, then I would say both the costs and the top-line will be moving in parallel and as such, no real upside from the top line. Theoretically, of course, where there could be a competitiveness advantage. And through that one, leading to a benefit would be if you would have devaluation and not a, significant labor inflation. Currently, I would say the market is opposite. So we are seeing a high labor inflation at the same time, for instance, Turkey, so no significant upside yet on that one. But longer term, I believe, our export business will be benefiting from these emerging markets.
Charles Heaulme: Remembering that from Turkey and from Egypt, both countries have a free trade agreement with the EU. So this is extremely powerful competitive platforms towards export, as you said, towards Africa, but also towards the EU.
Operator: The next question comes from Lewis Merrick from BNP Paribas Exane. Please go ahead.
Lewis Merrick : Good morning gentlemen. Thanks for taking my question, just looking at pricing, now to a negative world, can we expect this effect to become more significant in quarters to come as your contracts with customers continue to reset? Or should we expect a similar pricing impact following subsequent quarters? And then just looking at your North American business, was your new site in Hammond contributing materially to the result in North America this quarter? Or is the ramp-up expected to be more back-end weighted for this year?
Charles Heaulme: Thank you for the two questions. On the pricing, I would say, like this. Most of the pricing pressure and tenders have been seen in the first quarter, which means that we are not, believing into an extrapolation of the impact. However, the impact that we see in the first quarter will likely remain for the rest of the year. Many negotiations have already happened in the first quarter. But it's a position that we need to consider in the context of the overall market, where we believe that there will be more demand, particularly starting in the second semester, but also in the second quarter and that's what we're already seeing. So that will be more than compensating the pricing. And then the pricing pressure will obviously lower as much as the demand will start to reinforce versus last year. On the North America egg packaging. So we are extremely pleased if we come back to the decision made back in 2022 to invest in this new factory or extended factory. But that was the first investment we had in the US. for egg packaging. We're extremely pleased because as you may know, this is a market -- the egg market is growing in the US, like in most of the rest of the world. But in addition, in the US, there is a traction for growth of fiber packaging due to the ban of foam packaging. You may know that a big part of the market in the US. is foam packaging, so EPS, polystyrene, alternative packaging for eggs. And this is banned in 17 out of 50 states, which obviously converts mainly to fiber packaging, so very timely investment. Where are we in the deployment? We started with commercial production at the end of September 2023. It is in the fourth quarter. It was very shy numbers. It is still early days in the first quarter of 2024. So we will see much more volume in the second part of '24 as we continue installing lines. So we will have five lines. We have one commercially operational. Right now, we will have the five lines installed between the mid of 2024 and '25, the full impact will be in '26.
Operator: The next question comes from Maria Wikstrom from SEB. Please go ahead.
Maria Wikstrom: Yes, this is Maria. So first question is, as I think you hinted that you expect the volumes to be up and merely on the second half of 2024. But can you please discuss a bit about on different segments? So if we talk about foodservice and then volumes in FMCG? And then my second question is on the market rents in emerging markets. As if you could elaborate what is currently happening with the demand in India, and then more specifically as well in the Turkey, Egypt, so that will be very helpful. Thank you so much.
Charles Heaulme: Thank you, Maria. So, volume overall, yes, I said we are confident that the second semester will be a good semester versus 2023. But we see already in the beginning of the second quarter very clear signs of increasing demand. Of course, from a comparability point of view, if we look from the long-term perspective, 2023 has been a decline of volume mid-single digit. So we need to get that back with the demand. Q2 looks like starting well. So you asked for some granularity by segment. I'll start with the Foodservice segment, where this is probably the most challenged business right now. And the main aspect is the disruption of Asia and then Middle East and particularly linked to the Gaza war, as I was mentioning because of the continued boycott of US. brands. And this is quite impactful. Of course, it doesn't impact our US. or Europe business. But it impacts our Middle East and Southeast Asia business. So there, we are looking into growth in the second semester in Q2, maybe kind of a flattish volume. So I started with the low end of the volume. Then we go to fiber. Fiber Packaging is clearly trending positive in the first quarter. It is also trending positive in the second quarter. And then, when we extrapolate to the full year, then, we are really positive on rough molded fiber, because of the capacity we have been installing in addition. So again, US., I should speak about the US. when I talk about North America, obviously, but US. is one. South Africa, France are places where we have increased capacity. But then I mentioned operational challenges we had in the first quarter, which will be resolved already, which are results for Q2, particularly in the Netherlands and in Australia. So all this is positive for fiber division. Then flexible packaging. Flexible packaging is starting to show signs of improving demand. It is also showing signs of benefits from our innovation for recyclable packaging. We were clear last year to say that likely the deployment is slightly slipping towards 2025 versus 2024 as most of the global brands have made a pledge to have fully -- packaging fully recyclable by 2025. But we are happy with the deployment, the discussions, all the trials customer by customer that are ongoing. And last, North America, we think that North America volume and we have good signs from already the beginning of Q2 with the volume in North America to be growing substantially compared again to 2023 pushed by -- supported by the market, but also by the investments that we have been making and that are unfolding in the latter part of the year. So that's for giving you a little bit more granularity. Then, you had a question specifically on emerging markets, India. So in India, Turkey and Egypt, in India, we see also the volume, the demand starting to improve. Q1 has been, from a demand point of view, still disappointing, but the signs early Q2 are positive. So that's -- it must return to become a growth engine as a market. And again, we should be benefiting from our innovation deployment. At the same time, we need to recognize that all this economic disruption in India over the last years since the pandemic has driven a consistent down-trading at consumer level and this down trading is not beneficial to us. That's for India. Turkey, the demand is improving already in quarter one, even more in quarter two. The problem is you may not see it in -- we don't see it in the sales of Q1 in Turkey, because of a pricing time lag and that's going to be offset positively in the second quarter. And then same, we are -- we have commented already about Egypt. The Egyptian demand, domestic as well as export is improving. So we are relatively and prudently confident about how the year 2024 is going to evolve quarter-after-quarter.
Maria Wikstrom: Thank you very much.
Operator: The next question comes from Calle Loikkanen from Danske Bank. Please go ahead.
Calle Loikkanen: Good morning, thank you for taking my question. The first question would be on the raw material. So how much support from the lower raw material prices did you actually see in Q1? And do you expect this to continue also in Q2?
Thomas Geust: Yes. So I would say we have a tailwind if you compare year-on-year on raw materials, not that much anymore if you compare towards the end of the year. So clearly, clearly, the trading down of the cost elements started already Q2 last year. So from that perspective, to the earlier question here, the escalation, de-escalation doesn't come as a onetime big hit in the prices, where we will be adjusting accordingly. I hinted in the -- when I presented the P&L that we did have a tailwind in what we call value-add. So our value-add expanded versus previous year, no surprise on that one because also you had the pricing coming down. So you have a double benefit in that margin as such. Currently, I would say that we see more a flattish level in the commodities; the one which potentially would be trending upwards would be maybe on the paper side. But there, as you know, we have, to a large extent, longer term commitments from our suppliers.
Calle Loikkanen: Okay, thank you. And then on the pricing, you mentioned you had negative impact from pricing on sales in flexible packaging and fiber packaging. I assume this kind of comes from the lower raw material prices. So how is the situation in foodservice in North America? Do you at some point start to -- need to start lowering prices there as well?
Charles Heaulme: So the prices in North America, what you see already in the P&L of 2024 first quarter is actually where we have seen the biggest pricing pressure is actually North America. So you may remember 3% sales growth negative in North America, it's all pricing. It's not volume. So the pricing pressure has been high in North America. And that's where I answered the first question or the second question from BNP colleague that we would be expecting the pricing to remain at the same impact level and not further extrapolating. So that is for the first quarter, North America is very clearly the biggest impact. But the pressure has been there also in flexible packaging and in foodservice. Also in fiber, by the way, yes. So in all segments, we have seen pressure. And you were asking, is this the result of lower raw material, of course, but also lower demand and in the pricing balance, obviously, when the demand is lower, it's more competitive landscape. And we believe, therefore, that when the demand starts to increase, situation will be also better from a pricing point of view.
Calle Loikkanen: Alright, thank you, that’s all for me.
Kristian Tammela: Thank you for your questions. There seems to be no more online. So we'd like to thank you for your time and interest and wish you a great day. Thank you.